Operator: Everyone, and welcome to First Bank First Quarter 2022 Earnings Call. If you would let the opportunity to ask a question today. [Operator Instructions]. At this time, I would like to had turn the call over to Patrick Ryan, President and CEO so Patrick, please go ahead.
Patrick Ryan: Thank you. I would like to welcome everyone today to First Bank's First Quarter 2022 Earnings Call. I'm joined by Andrew Hibshman, our Chief Financial Officer, and Peter Cahill. Our Chief Lending Officer. Before we begin, however, Andrew will read the Safe Harbor statement.
Andrew Hibshman: The following discussion may contain forward looking statements concerning the financial condition, results of operations and business of First Bank. We caution that such statements are subject to a number of uncertainties and actual results could differ materially, and therefore you should not place undue reliance on any forward-looking statements we make. We may not update any forward-looking statements we make today for future events or developments. Information about risks and uncertainty are described under Item 1A, Risk Factors in our annual report on Form 10K. For the year ended December 31, 2021, filed with the FDIC, Patrick back to you.
Patrick Ryan: Thanks, Andrew. Well, I would just like to take a couple of minutes to hit on some of the highlights from the quarter and then turn it back to Andrew and Peter for a little more detail. Overall, I'd say Q1 was a very strong start to the year. We enjoyed very good Core loan and the deposit growth. We saw continued decline in our cost of Deposits. The asset quality trends look good. Our loan yields are moving higher while our deposit costs remain low. Our core return on assets excluding PPP continues to move higher. We are seeing employee turnover creating some challenges.  But I wanted to point out that I'm really quite pleased with the high quality of new people we've been able to bring in. And I think the strength of our team is as good or better than it's ever been. And specifically, in our Pennsylvania region, that team is fully staffed and off to a great start. And we're looking for continued growth and strength in that area. I'd like to hit on a couple of the key financial ratios, we had strong ROA of 1.31% in the quarter. Our return on tangible common equity was over 13%. We had efficiency ratio below 50% for the fifth straight quarter.  Our pre -provision net revenue return on assets was over 1.8% once again, for the last five quarters. our net interest margin was over 3.5% again, for the last 5 quarters. And we realized tangible book value per share growth during a period where many banks actually shop on their tangible book value per share declined. On the lending side, we had $65 million in net loan growth excluding PPP, which has just over 12% annualized. The weighted average yield on our first quarter production was 3.97%, which was up from 3.54% in the fourth quarter of '21.  And as I mentioned, asset quality is holding up quite well given the environment. Slow quarter for SBA gain on loan sale income, however, we did have good activity towards the end of last year and in the first quarter, which should lead to some SBA loan sale fee income over the next couple of quarters. And our pipeline for SBA deals remain very active with 15 deals currently in process. And we continue to be very busy across all of our markets and all of our lending specialties. On the deposit side, we have 65 million in overall deposit growth.  And half of that increase came from non-interest-bearing income category. We continue to drive our cost of deposits lower. Achieving a 19-basis point cost of deposits in Q1 which was down slightly from 21 basis point cost of deposits in the fourth quarter. And we had continued success in our commercial deposit and cash management areas. Commercial deposits are now up to 40, 46% of total bank deposits. And the cash management pipeline continues to be strong and active. In summary, it was a really great start to 2022.  We feel like we're hitting on all cylinders in lending growth strong, the pipeline is robust, yields are rising, and regions and teams are busy, and asset quality looks good. The positive results are also strong with good non-interest-bearing growth, continued success in cash management, and an ability to continue to keep funding costs low. The core business is growing nicely. We're actively exploring additional niche lending opportunities and deposit opportunities that will allow us to continue to grow in the commercial loan and deposit area. So, at this time I'd like to turn it over to Andrew to dive into a little more detail on our financial.
Andrew Hibshman: Thanks, Pat. For the three months ended March 31, 2022, we earned 8.2 million in net income or $0.41 per diluted share, which translates still 131 return on average assets. Factors contributing to another strong income quarter included an improving net interest margin and effective management of non-interest expenses. Net income increased from the linked fourth quarter but declined slightly compared to Q1 2021 and that decline from Q1 2021 was primarily due to higher loan loss provision expenses, lower PPP fee income, and lower non-interest income.  After a strong loan growth quarter in Q4, 2021, we are very pleased with our net loan growth in Q1 2022. Excluding PPP loan forgiveness, loans were up 65.3 million in Q1 2022 compared to an increase in Non-PPP loans of approximately a 134.4 million in Q4 2021. During Q1 2022, 25.5 million in PPP loans were forgiven, which leaves approximately 25.5 million in PPP loans outstanding at March 31, 2022. During Q1 2022, we earned 860,000 in PPP fees compared to 1.1 million in the fourth quarter of 2021 and 1.6 million in the first quarter of 2021.  As of March 31, 2022, we had 829,000 in deferred PPP loans fees remaining. Total deposits were up $63.3 million during the first quarter while we continue to reduce our reliance on higher costs, time deposits, non-interest bearing demand deposits as a percentage of total deposits increased to 27.4% at March 31, 2022, compared to 26.4% at the end of 2021. While time deposits dropped to 15.1% of total deposits at March 31st, 2022, compared to 18.5% at December 31st, 2021.  In addition to shifting our deposit mix, we have been able to lower the cost of our interest-bearing deposits, which both have contributed to the lower cost of deposits as Pat mentioned. Our total cost of deposits was reduced another 2 basis points in Q1 2022. Our tax equivalent net interest margin increased to 3.57% for the quarter ended Q1 2022 compared to 3.5% in the previous quarter, excluding PPP fee income, our margin would have been approximately 3.43% in the first quarter of 2022 compared to 3.34% in the fourth quarter of 2021.  Our margin continues to benefit from the lower cost of deposits and minimizing the decline in the average yield on interest earning assets. We are also well-positioned for rising rate environment and anticipate that excluding the impact of PPP fees, we should be able to maintain a relatively stable margin with potential opportunities to improve the margin through rising asset yields as our March 31, 2022 GAAP position is slightly asset-sensitive. Based on strong deposits growth and PPP forgiveness during the first quarter of 2022, our liquidity levels increased slightly during the quarter.  However, we have not increased our on-balance sheet liquidity to the level of many of our peers because of our strong organic loan growth. This strong organic loan growth has also kept our investment portfolio relatively small when compared to peers and we have not taken any significant credit or interest rate risk positions. The size and fairly short duration of our investment portfolio has limited our unrealized losses somewhat. But these losses have reduced our stated equity capital in the first quarter of 2022 we also had limited buyback activity in the first quarter of 2022.  We only repurchased 200 shares during the quarter, this also limited our capital decline. However, we have seen a pickup in buyback activity in April as our share prices dip below our established buyback price at certain points in April. In spite of the decline in capital due to the unrealized losses in our FS-Book portfolio. As Pat mentioned, we were able to increase our tangible book share, tangible book value per share by $0.12 during the current quarter.
Andrew Hibshman: Based on another quarter of modest charge-offs and continued strong asset quality profile, we reduced our allowance for loan losses as a percentage of loans slightly, to 1.13%. This is excluding the impact of PPP loans, which was down from 1.15% at the end of 2021. Non-performing loans were down slightly in the current quarter, and COVID related deferrals are now negligible. In the first quarter of 2022, total non-interest income decreased to $1.3 million from $2.2 million for the fourth quarter of 2021. The decrease from the fourth quarter of 2021 was due to declines in gains on recovery of acquired loans, declines in gains on sale of loans, and lower loan swap fees.  Gains on recovery of acquired loans in Q4 of 2021 were elevated due to a large recovery on one commercial loan during the quarter. SBA and loan sale income, which is our primary source of loan sale gains, was down due to less SBA loan activity during the quarter. As Pat mentioned, we still have an active SBA loan pipeline and expect this activity to increase. On non-interest, income levels may continue to fluctuate, the underlying strength of our non-interest income generation capabilities has improved from prior years.  Annualized first quarter 2022, non-interest expenses were 1.79.% of average assets compared to a pure average of 2.07%. In total, non-interest expenses were $11.1 million in the first quarter of 2022, down $703,000, compared to Q4 2021. The decrease was primarily due to higher incentive comp and merger related expenses in the fourth quarter of 2021. We are continuing to be laser focused on expense control, but we anticipate our quarterly expenses will be slightly higher than we had anticipated during our last conference call and will increase slightly from Q1 2022 levels at year end salary adjustments were made in March 2022 and inflationary pressure is affecting certain other expense items.  With a strong commercial loan pipeline our improving deposit mix and anticipated pickup in non-interest income from the current quarter and effective management of non-interest expense. We are well positioned to continue our strong and improving core profitability strength trends during the remainder of 2022. At this time, I will turn it over to Peter Cahill, our Chief Lending Officer for his remarks. Peter.
Peter Cahill: Thanks, Andrew. The earnings release outlines well, the overall results in the lending area. In fact, Andrew highlighted what we accomplished. My [Indiscernible] mainly will be focused on non-PPP related results. All in all after a strong finish to the year in the fourth quarter of 2021 and December in particular, I'm pleased to report a very solid quarter for the following three months ending March 31, 22. The first quarter results were a big turnaround from the First Quarter of 2021. In 2021, loans actually declined in the quarter.  Despite funding new loans of $68 million in Q1 2021, we had loan prepayments of a $103 million. For comparison this quarter, we funded a $126 million of new loans, 85% more than the same period last year. And importantly, paid off loans declined from the $103 million level I just mentioned for 2021, the $53 million this past quarter. The reasons behind the payoffs this past quarter were the 45% of total paid-off loans were refinanced out of First Bank, and 43% paid off loans occurred when the underlying asset was sold.  The loans refinanced number is a little higher than normal, and that's more than half of the total comes from one large construction loan that stabilized and refinanced as planned out of the bank with an insurance company. Additionally, regarding decline of credit utilization. Utilization rate was down slightly from 45% at the end of fourth quarter to 42% this quarter. Net for all the activity in Q1 are organic loan growth of $64 million in change put us just about $14 million ahead of plan and in good shape -- shape to meet our 10% organic loan growth goal for the year.  At this point, I'll talk a little bit about our loan pipeline, which remains strong. We continue to source good business in our market and the pipeline continues to be well diversified. We haven't had any real pressure to extend terms or otherwise structure loans in a way that we haven't been doing. I'm looking at the same business under the same basic terms. Our pipeline numbers are based upon probable funding, which means we project first year usage and then apply a multiple against that for a probability factor based upon on where the approval process for loan request is.  For example, a loan that's already approved waiting the close and still in the pipeline will have a higher probability of closing than will one that just went into underwriting. Looking back a couple of quarters, our pipeline at the end of the third quarter of 2021 stood $265 million, which was a record level for us at that time. Then after a very strong fourth quarter in terms of loan closings, which obviously removes loans from the pipeline, we still finished the year with a pipeline of $262 million. Now a quarter later, after a good first quarter our pipeline stood at $283 million at March 31, '22.  A review of the pipeline leads one to a discussion of projected loan funding's, each month we look out 60 days in project funding of new loans and payoffs, or prepayments for Andrew team in finance. To get on the list of projected funding a loan has to be approved and moving towards closing. As you might expect, some, the healthy pipeline, the beginning of the second quarter looks solid. And I'm expecting that we'll continue to be ahead of plan for the first half of 2022 despite the economic uncertainties days, I think our loan growth prospects are aligned with the rest of the industry, which expects positive loan growth in the near term.  I'll also attribute our growth to the hard-working team. Teams have [Indiscernible] and their managers that we've developed last year, we had some relationships management turnover, and we were able to bring in some solid bankers and they've helpful at. We also added a team of relationship managers in the Montgomery County sector of our Pennsylvania region in the latter part of 2021. And they are beginning to show a lot of progress. We plan on continued growth and we're always on the lookout for people that can help us do that.  I should point out that regarding the pipeline, our SBA team has built a good pipeline for 2022 that we really haven't seen the benefits of yet. Pat referenced this in his comments, and you touched upon loan sale income being down in Q1. We only sold one loan during this period. But the good news is that the number of loans the SBA hasn't processed is growing. This includes five loans that are closed, but not been fully advanced, which is what you need to do it or to sell the guaranteed portion. There's a we have another five loans have been approved and in documentation, will be closed soon.  And then as Pat referenced, a decent pipeline of deals in process behind that, this should all help what didn't come generation in the coming quarters. Another thing worth mentioning is interest rates. We like most banks are trying to react to the impact of rising rates. Those customers seeking longer term fixed rate loans are being offered interest rate swaps. Otherwise, for longer-term loans, we are committing to spreads over a base rate and fixing interest rates on loans two to three days prior to close in that two to three months prior to closing.  Looking back over the past few quarters, one can see an increase in our weighted average interest rate on new loans. Pat referenced the first quarter drilling down a little further, our weighted average rate on new loans and March, for example, was around 4.17%. Lastly, regarding asset quality, there's not much to say beyond the interest comments. What's in the earnings release, things from my perspective, continue to look good. Delinquencies are low and other credit metrics, solid. That's my report for lending for the first quarter. I will turn it back over now to Pat for some final comments.
Patrick Ryan: Great. Thanks Peter, thanks Andrew. Appreciate those additional details. And at this point, we would like to open it up for folks on the line for the question-and-answer session. So, I'll turn it back to the Operator.
Operator: Thank you. [Operator Instructions] The first question we have from the phone line comes from Nick Cucharale from Piper Sandler. So, please go ahead. When you're ready Nick.
Nicholas Cucharale: Good morning, everyone. How are you?
Patrick Ryan: Good morning, Nick, how are you?
Nicholas Cucharale: I'm doing well, thank you. I just wanted to follow up on the opening remarks regarding employee retention. Can you help us think about the impact on the overall expense base? You later mentioned the higher quarterly rate going forward, can you quantify your expectations?
Patrick Ryan: I think we took a look at where we were at the end of last year. And the feedback we provided, and I think we had indicated we thought the quarterly expense base would be somewhere in between Q3, which was artificially low, and Q4, which was artificially high. And I think the short answer is we're seeing some inflationary pressures that's probably going to push that up a little bit higher. Higher than where we are right now, not significantly higher, but I think at the 11-1, that's probably the low end of the quarterly range that we expect going forward. So, Andrew, anything you want to add on that?
Andrew Hibshman: Yes. I think you said it, right. I think we expect some increases off of the current -- current quarter run rate. We are doing a lot of things to help mitigate that and we'll continue to do that. We just had our annual reviews and salary increases for our employees happened in mid-March. So, you'll definitely see an increase in salaries, but we were able to I think call the line a little bit on some folks we rewarded the top performer. So, it's not going to be enormous increases, but we're continuing to see pressure. So, expenses are going to move up for sure.  We expect the second quarter to be up slightly from the first quarter and there will continue to be pressure. But I think we're doing a pretty good job of holding the line. We're going to keep working hard to keep expenses low, but we're definitely going to see some inflationary increases in other areas too, and occupancy in certain other areas. But we have some other things we can do to help mitigate the increase, but we're definitely to see some increases over the next couple of quarters.
Nicholas Cucharale: That's very helpful. And then back to the remarks
Patrick Ryan: [Indiscernible]
Nicholas Cucharale: I'm sorry.
Patrick Ryan: Hey Nick, one thing to think about is kind of the timing for how inflationary pressures come through. Good news, but it takes longer to sell open positions, right? So that actually means for a short period of time, we actually have some savings that offset the ultimate increases that come around. So again, I think Andrew is right, there's got to be a little bit of a little bit does not provide. Yeah. I think it'll be it'll be managing that.
Nicholas Cucharale: It's a good point that's good color so back to the remarks for stable NIM in 2022, excluding PPP, given strong loan yields and limited liability, pick up in the near term is your anticipation to show continued NIM expansion through the first several hikes and then erosion as liability costs, pickup is that kind of how you're thinking about thing?
Patrick Ryan: Yes. I think that's certainly an opportunity, Nick. The timing of how the changes trickled through is a little bit difficult to predict, but it's Peter mentioned, overall yields in Q1 were up from Q4 and the yields on new production at the end of the first quarter were higher than its beginning. So we're definitely seeing the movement higher on the rate side for loan yields and the real -- the real unknown obviously is what happens on the depository side, but the fact that we saw our overall costs continue to come down in Q1, I think is a very good sign.  Overall, liquidity levels are good and we're not, we're not seeing a lot of banks pushing rates higher right now. It seems to be a market where there's not huge pressure at the moment on deposit costs. Now, once the said moves and they move again, and short-term rates are up a percent from where they are today. I'm sure that you're going to start to see deposit costs move higher, but I'm cautiously optimistic, we can see a little bit of margin expansion in the short run.
Andrew Hibshman: Yeah, Nick, I would just add to that, I think your comment on how these happen. I mean, typically the last time rates move that's how it typically works, it's like the deposit betas are a little lower the first couple of hikes, and then they tend to get higher on the later hikes. We'll see how this cycle works. It does feel like this cycle might be a little different, because typically when rates are moving there isn't as much of excess liquidity at all the tanks, and especially the big guys and a lot of our competitors. So hopefully that means that the deposit pressure will be a little bit less this time than in previous cycles, but that's the big unknown for the next few quarters, what happens on the deposit side.
Nicholas Cucharale: Right. And then lastly, when you look at the mix in the loan pipeline, are you anticipating similar segment growth to this past quarter with commercial real estate leading the way?
Patrick Ryan: Well, it's a little hard to predict Nick, if you look back at 2021, we actually saw C&I and owner occupied leading the way in terms of overall growth for the year. So, it's not -- the pipeline continues to show healthy levels across all categories that investor real estate category tends to pop up here and there. If there's one or two larger deals that get done, but correspondingly, next quarter or quarter after [Indiscernible] one or two large fields that pay off, you're going to see the growth coming from C&I and owner occupied. So, it's tough to predict but I think overall our ratios across categories should stay pretty consistent. Peter, what would you -- what would you say on that question?
Peter Cahill: No, I'd say definitely they stayed consistent. I can't really add to what Pat said. It does -- different segments are up and down over the course of the year. I know first quarter 2022 investor real estate was probably up a shade more than normal, but that's followed a year where C&I was way up so -- but the way the pipeline looks today, all segments are consistent with where they've been in past few years.
Nicholas Cucharale: Thanks for the detail and thank you for taking my questions.
Patrick Ryan: Thank you. Nick.
Andrew Hibshman: Welcome.
Operator: Thank you, Nick. We now have next question online from Manuel Navas, from DA Davidson, so please go ahead when you are ready Manuel Navas.
Manuel Navas: Good morning.
Patrick Ryan: Good morning Manuel.
Manuel Navas: So, the loan pipeline commentaries, it's pretty nice, pretty strong. How would you characterize it for the full year? I know you're see feel like kind of ahead of plan in the first half of the year. Does that mean you're a little more cautious about the back half or you just taking the activity as it comes?
Peter Cahill: Well, as far as my comments were concerned and we kind of take it as it comes. I mean, last year we were way beyond play and we thought we'd just because of the pipeline and the folks who are talking to out there that we would still make plan for 2021 and we did point to point growth. Being ahead of plan at the end of Q1, and I'll take that every year and I think we'll continue to be ahead of plan when we get to June 30th, so I'm still focused on exceeding 10% and that's our number today.
Patrick Ryan: Yes. I would just add that the dynamics of the commercial business are such that lots of folks want to get stuff done by year-end. So, fourth quarter almost always tends to be a higher-than-average production month. And that's why starting the year strong is so important, because usually we have those called seasonal factors that lead to pretty robust production at the end of the year. So listen, the big variable in overall net loan growth tends to be the payoffs and pay downs, because those are little harder to predict, because you don't always get the heads up too far in advance if folks are selling the assets or things like that. So, I think its payoff and the pay-down activity slows which you would think it would give rates are higher now within where they'd been. I think that portends good opportunity to finish the year ahead of plan.
Manuel Navas: That's great. You've touched on finishing the quarter with a little bit better loan yields on new production. Is that continued into April? And also answer based on the deposit side, you haven't seen any -- you just touched on deposit pricing competition hasn't picked up yet. Can you expand on that as well?
Patrick Ryan: Yes. I mean, I don't know that we've run the numbers for April yet, but based on what I know, that's come into committee to get approved, I think the trends for higher loan yields absolutely are continuing to move up and on the deposit side. It's interesting because we're not seeing the pressure yet, l ‘m sure it'll come, but as Andrew pointed out, there is fair amount of excess liquidity out in the market right now, which I think in the short run is going to keep deposits rates low. And I think when the [Indiscernible] starts to actually sell some assets. It will be interesting to see how much of an impact that has on the overall liquidity in the system but our deposit rates moving higher, yes. Do I think they might move higher at a beta or a rate that's less than what we've seen in prior cycles given the, all the excess liquidity, yes? I think we will.
Manuel Navas: I appreciate that. But my last question is on the expense discussion. Previously, you'd kind of given a range on a quarterly run rates studies about that could be about $1.5 million give and take is that would you still hold to that range? And this is kind of at the low-end and across the year will kind of fluctuate between $11.1 million and like $12.5 million per quarter?
Patrick Ryan: Yeah. I don't know that it's going to be that big of a gap. I mean, we were 11.1 in Q1 I expect Q2 will be a little bit higher than that, Q3, maybe a little bit higher than that, depending on how inflation pressure kind of [Indiscernible] expense base but I don't envision a jumping up 12.5 or anything here that I mean, obviously if there's one time events or things, but just in terms of the core, I think a little bit of an increase from where we are, but nothing up in the mid-12, I don't know, Andrew, you want to jump in there?
Andrew Hibshman: Yeah, I agree with that kind of, I mean, I think some of that kind of range or talking about was we had a big jump in the fourth quarter last year, which was up about 1.3, 1.4 million from the level it was in the third quarter of last year, but I don't -- I don't anticipate there being that kind of big jump. Like Pat said, unless there is some kind of one-time event. But we are going to continue, I think over the at least the next couple of quarters to see a little bit of creep up in. Obviously salary and employee benefits as one, but there's some -- some increases coming in some other areas, but yes, I'd agree with Pat that we should be able to manage it more tightly than up to -- up to 12.5 million I don't see that that number is high.
Patrick Ryan: Q4 has a merger-related costs in it but we get the exact number.
Andrew Hibshman: Yes, right. So, it had merger and it had some higher incentive comp so that -- that was a little bit of an outlier. Yes, I'd agree with that. I think there will be some -- some increases from our current level, but I wouldn't expect it to go that high.
Manuel Navas: Thank you. Appreciate it.
Patrick Ryan: Thank you, Manuel.
Operator: Thank you. We now have David Bishop of Hovde Group. Please go ahead, David.
David Bishop: Hey, good morning Pat. Good to be back [Indiscernible] again. Hope all is well,
Patrick Ryan: Yes, good morning Dave.
David Bishop: Pat it sounded like obviously there's some timing issues on the SBA. Maybe loan sales this quarter sounds like the pipeline rebuilding. Should we see maybe a little bit of a rebound in the fee income at least on the gain on sale, maybe SBA activity as we [Indiscernible] out through the other remainder of the year?
Patrick Ryan: Yeah, I think so. Given the loans, we've already closed, that haven't sold and given the level of activity within the group, which is the highest it's ever been, I think the prospects for our strong next few quarters on SBA are good.
David Bishop: Got it. It sounds like you guys remain on the lookout in terms of hiring and in terms of different niches, it sounds like maybe on both the lending and deposit side, just curious, maybe the outlook there and maybe some of those niches that you mentioned, and are you continuing to look for some of those cash management - centric commercial bankers to hire as well?
Patrick Ryan: Yes, absolutely, right? We're always on the lookout for quality bankers. Obviously, our focus is primarily on the C&I side on lending and we've got a really strong team on the real estate side. It's harder to find the C&I folks who will serve always in the market there, and we've got a good suite of cash management products, but we're always ear to the ground in terms of new technologies, new initiatives. But I think, for us, we use M&A in the past, I think it will continue to be something that's on our radar, but we've always been a strong organic growth bank.  And in order to do that, you need, you need really good people and you need to have an active pipeline of folks for replacing folks that leave, and just continuing to add. So I think we're pleased with some new hires that we recently were able to bring in over on the PA side, and seen some really good opportunities over there, and we continue to be very busy both in North and then Central Jersey and even in South Jersey. So yes, I mean, I think the team is rounding out. I think we're seeing some nice, high-quality folks that we're able to bring in. So, turnover's an issue, but at the end of the day, if you're able to find opportunities for great new folks, you could end up in an even stronger place even if it takes you a little while to get there, so.
David Bishop: Got it. Then, you mentioned that obviously you alluded to the fact you guys have always been a great asset generator and you're not [Indiscernible] with the excess liquidity that maybe some of your peers are -- as we think about the funding of loan growth year, maybe the waning of the PPP funding coming in. How should we think about the loan to deposit ratio? Is our chance and are some of your peers are starting to get aggressive and moving up rates maybe ahead of time and bringing against some maybe longer duration money at what could be cheap rates over time. Any thoughts about maybe pre -funding the expected growth and get ahead of the rise in interest rates. Just curious how we should think about maybe Deposits or at this year relative to lumber.
Patrick Ryan: I mean, listen, I think there's probably opportunities there, David, but it all depends on what you need and what you're seeing in your Deposits pipeline and your loan pipeline. So, will we at some point have some longer-term CD offering to try to lock in some longer-term funds. I think we probably will, but we're sort of taking that on as needed basis, so.
Andrew Hibshman: I would just add to that. I mean, we did a little bit. It's been it's hard to offer most kind of in market deposit customers aren't willing to lock-ins rates, but we did do some brokered CDs a little bit longer to try and lock in some money. So, we're looking for opportunities to lock in. But as mentioned, we're -- as of March 31, were just slightly asset sensitive, we're pretty balanced. And that's kind of what we've done historically. We always trying to stay fairly balanced and there's no real huge interest rate risk positions that we need to deal with. But we are selectively looking to extend. Like I said, we did it in the brokered area at sometimes easier than trying to offer something in market because most folks are on keeping their money short. So, we're doing it selectively, but again, we don't have any kind of real risk from an interest rate perspective that we need to do with.
David Bishop: Got it. One more housekeeping question. Maybe a good tax rate to use the rest of the year and tap amount is how much is tap under the buyback authorization? And that's it for me. Thanks.
Patrick Ryan: I think there's quite a bit still left on the buyback. Andrew. I don't know if you've got a round number handy.
Andrew Hibshman: We had one. The buyback was 1.3 million shares. We only purchased 200 shares during the first quarter. We have been a little bit more active in April as we have a set plan with a set price that we don't mess with. But our price has dipped below that, so we've been a little bit more active in April. But we still have plenty of availability under our current program, which goes through the end of September. And then from a tax rate perspective, our tax rate was a little bit lower than potentially our run rate going forward, because we did have some discrete items.  As, as folks exercised options, sometimes we get some extra tax benefits from that. But that's something that does happen fairly regularly, but I think our tax rate is a little bit lower this quarter than what you can anticipate going forward. But I think we'd say around 24% to 25% in a normal quarter, but we do tend to have a decent amount of these discrete items. So, the 23% to 25% is the number you can expect, which will jump around a little bit, but it will probably never get outside of that range of 23 to 25
David Bishop: Great. Appreciate the color.
Operator: We now have a question from Erik Zwick and Scott [Indiscernible]. Please go ahead when you ready.
Erik Zwick: Good morning, guys.
Patrick Ryan: Hey, good morning, Erik.
Erik Zwick: Most of my questions have been asked at this point, I guess just a little bit of a follow up on the niche lending opportunities. And at this point, I believe all of your lending has done in house with your own lenders and some other banks out there have started to partner with some third-party providers for different kind of avenues. Curious if you've ever considered something like that or is that something you might at some point, are you more comfortable kind of sticking all in-house at this point?
Patrick Ryan: Yes. Listen, there's always value in outsourcing. However, I think it gets a little dicey when you're outsourcing your Core competency, which for us is commercial credit underwriting. We have -- we have used some technology to help us on the small end of the small basis segment where we've leveraged some quality established providers to help automate and streamline the underrating on some very small -- small business loans. But for the most part, the -- that customer relationship, understanding that customer underwriting the risks, that's a key part of what we do. And I don't suspect we are going to look to outsource that anytime soon.
Erik Zwick: Thanks. I appreciate the color there and then just on the topic of using capital for organic growth through be the priority given where the stock is trading today, that the multiple may not be exactly where you'd want if you wanted to undertake an M&A deal. But just curious, I'm sure you're keeping up conversations with certain potential partners and maybe hearing from some of the bankers coming around curious about that the pace of M&A discussions today, whether they've changed much in the past, say three or six months or fairly similar?
Patrick Ryan: I think there's always a certain amount of dialogue and I think when buyer stocks are up, there is a little more dialogue and when they are down there's a little -- little less dialogue. So, I think what you've seen in the bank stock community, unfortunately over the last several months is just a downward decline in overall price levels and multiple. So, I suspect that we'll have a bit of a damping impact on M&A. Now for us, we've always been selective opportunistic. We've never been one to go out there and just payoffs for banks because we had an inflated currency. We've always had to be disciplined on the M&A side. And so, our M&A activities and always as correlated to having or not having a premium multiple. Obviously, it's a little bit easier to do deals if you've got a better multiple. But I think for us it's just a combination of continuing to focus on the core organic growth strategy and continue to look for those unique opportunities that we've been able to successfully integrate in the past.
Erik Zwick: I appreciate the commentary there, Pat. Thanks for taking my questions today.
Patrick Ryan: Yeah, no problem. Thank you, Erik.
Operator: Thank you, we now have a follow-up question from Manuel. So please go ahead. [Indiscernible]
Manuel Navas: I wanted to hop back on to follow-up on your assets which [Indiscernible] the disclosure. You've been liability sensitive in the past and just wanted to hear a little bit more about how -- what's shifted, what inputs shifted to get you on the asset sensitive side. I know it's pretty neutral, but still just anything that you could give on how that shift occurred.
Patrick Ryan: Yeah. I mean, Andrew can give you the details, but I would start the answer by saying, to the extent that we've ever been liability sensitive, we spend very, very, very modestly liability sensitive. And so it feels like a flip to go from one to the other, but if you're very close to the middle on one side and then you inch to being very close to the middle on the other side., it may seem like more of a change than it really is. But Andrew, why don't you jump in with a little more of the detail.
Andrew Hibshman: Yeah, Pat, you hit it. I mean, it's not a significant change from where we were last quarter. We did add some additional liquidity. We let some CDs run-off. We have more kind of non-interest-bearing balances at the end of the third quarter. A little bit higher level of on-balance sheet liquidity. We did a decent the amount of loan swap deals last year, which is helping our variable rate loan totals, compared to the total loan balance. So, a little bit of a couple of things got us to swing from slightly liability sensitive to slightly asset sensitive. But it's not a huge shift from where we were at the end of at the end of the year.
Manuel Navas: And you continue to use historical deposit betas in your assumptions.
Andrew Hibshman: Yes. We tweaked betas a little bit last year, but we made no significant changes in our model. I think really the only thing we moved some beta is up a little bit on some of our kind of smaller ancillary deposit products, government and broker and things like that. But we didn't we haven't made any significant changes to our model over the last few years. Again, we look at the assumptions every year and we tweak, but we haven't made major changes.
Manuel Navas: Okay. This has been helpful. Thank you.
Patrick Ryan: Thank you, Manuel.
Operator: Thank you. We currently have no further questions registered [Operator Instructions]. We have no further questions registered, so I'd like to hand it back to the management team.
Patrick Ryan: Thank you. I will just wrap by saying thanks everybody for taking the time to listen in. We appreciate all the interest in First Bank and the great questions, and we'll look forward to regrouping with everybody at the end of the second quarter. Thanks, everybody. Have a great day.
Operator: Thank you. This [Indiscernible] complete today's call. Thank you all again for joining. You may now disconnect your line.